Operator: Good morning. My name is Jackie, and I will be your conference operator today. At this time, I would like to welcome everyone to the DuPont Second Quarter 2007 Investor Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer period (Operator Instructions). To listen to the webcast please go to www.dupont.com. Thank you. It is now my pleasure to turn the floor over to your host, Carl Lukach, Vice President of Investor Relations. Sir, you may begin your conference.
Carl Lukach: Thank you Jackie, and good morning everyone, and thank you for joining us today. We are pleased to present by way of this webcast our second quarter 2007 financial results. Here with me today are DuPont's Chairman and Chief Executive officer, Chad Holliday; Jeff Keefer, our Chief Financial Officer; and Erik Fyrwald, Group Vice President of DuPont's Ag & Nutrition platform. For our agenda today, first Jeff will review the second quarter results. Next we'll review our platforms. Erik will cover our Ag and Nutrition platform, and I will cover our remaining platforms. After that, Chad will share with you his summary comments. Let me take care of a few administrative items. Please turn to slide two. During the course of this conference call we may make forward-looking statements. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance and involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We invite to you please take a look at the supplemental information that we posted on our website today, including the slides that we will use with today's webcast. With that, I will now turn the call over to our Chief Financial Officer, Jeff Keefer.
Jeff Keefer: Thanks, Carl. Good morning, everyone. Over the next few minutes, I will review the quarter and year-to-date results in detail for you, as well as frame our second half expectations. The highlights of our second quarter and first half results were our strong volume growth outside the U.S., continued positive pricing, our cost productivity gains and our growth investments in our higher margin businesses. All of these factors contributed and will continue to contribute to offsetting the adverse impact of higher ingredient costs and lower demand in U.S. residential housing and OEM auto markets. Starting with earnings on slide three, second quarter reported earnings were $1.04 per share, compared to $1.04 per share last year. Second quarter 2006 results included a $0.03 significant item benefit from a deferred tax asset adjustment. Excluding the significant item from 2006 earnings, our earnings per share were $1.04 compared to $1.01 last year, representing growth of 3%. On a year-to-date basis, underlying earnings per share grew 9%. The earnings increase was based on another steady quarter of sales growth. Consolidated sales grew 6%, 1% volume, 2% pricing and 3% currency. For the first half, consolidated sales grew 6%. Each of our five platforms contributed to the sales growth but the standout business this quarter for both top and bottom line growth was Performance Materials with 8% topline and 19% bottom line growth in the quarter. We estimate that the weak North American housing and auto markets cost us about $0.04 to $0.05 per share in the quarter. Finishing chart three, segment pretax operating income grew 6% in the quarter and 9% in the first versus last year same period. Turning now to slide four. The waterfall analysis depicts the puts and takes of the quarter. Our pricing discipline produced the 14th consecutive quarter of price increases, which contributed $0.13 per share to earnings. Volume growth was led by certain standout geographies, such as double-digit growth in Eastern Europe, greater China and India. Growth in these markets continues to be broad based across the platforms. In total, volume growth added $0.03 per share to earnings in the quarter. Emerging market investment in sales, marketing and local technical support is paying dividends. For the latter part of the year, we expect continued growth from international markets. Our Cozaar business added $0.03, reflecting our ongoing collaboration with Merck and the strong second quarter Cozaar sales reported by Merck yesterday. For the second half of 2007, we anticipate our pharmaceutical earnings to be essentially equal to the prior year consistent with the sales outlook Merck provided yesterday. The Cozaar gain was offset by a $0.04 decline in other income, compared to the prior year quarter. The decline is primarily attributable to the absence of Ag and Nutrition Technology sales that occurred in 2006 and a decrease in net exchange gains. Increases in variable costs excluding volume and currency effects subtracted $0.15 from earnings growth. Excluding the impact of higher royalty and commission expense in our seed business and the impact of pass-through pricing inflation, our underlying energy, ingredient and transportation costs increased about 4% versus last year. Ethane, farm commodity prices, energy, TiO2 ores (ph) and many industrial chemicals were the primary reasons. We were hopeful last quarter that energy and ingredient cost inflation would moderate. This however proved not to be the case. You can see on slide five that the U.S. Bureau of Statistics Industrial Chemical Price Index shows an increase comparable to our variable cost increase. Based on our year-to-date experience and the trends in the markets, we are assuming for our planning purposes that the second half of the year will trend inline with the first half experience showing moderate increases compared to last year. Moving to slide six, fixed cost as a percent of sales showed continued improvement at 38.6% of sales, which is 120 basis points lower than last year. We again increased productivity in the quarter, while moving forward with strategic growth investments in high return businesses. Increase in fixed costs versus last year excluding volume and currency effects was a charge to earnings of $0.02. The restructuring programs underway in our Coatings and Ag platforms are on track, and we expect gains to be more impactful later this year and in 2008. Moving to slide seven, our base tax rate for the quarter was 24.6% versus 23.8% last year same period. This higher rate subtracted $0.01 per share from earnings growth in the quarter. Looking forward, our full year estimate remains at about 27%. As a reminder, this represents an increase over last year's full year base tax rate of 21.5% and we expect this will subtract about $0.17 per share from the second half earnings with the majority of that impact being felt in the fourth quarter. With regard to our balance sheet, we have provided preliminary second quarter cash and debt level data on our website. We've also included our quarterly return on net asset improvement progress table in the appendix. While the progress has been single basis point increases on a business-by-business basis, we have and are making progress. In the 0% to 12% grouping since the inception of the project, the assets have improved 270 basis points to average 7.3% RONA. We have made good improvement in certain businesses but we need to move faster in others. And finally for the quarter, let me update you on our share repurchase program. We purchased 5.9 million shares in the second quarter at a cost of $300 million. With this action, our cumulative purchases under the program stands at the $3.9 billion versus a commitment of $5 billion nearly 80% complete. We expect to complete the remaining $1.1 billion by yearend consistent with our financial discipline principles. In summary, we grew earnings this quarter despite tough market conditions in the U.S. and tough comparisons to a very strong second quarter last year. We are constantly adjusting to market conditions but we are also keeping focused on our growth strategies and productivity efforts. I will now turn the call over to Erik Fyrwald, who will cover our Ag and Nutrition platform. Erik?
Erik Fyrwald: Thanks, Jeff. Starting on slide nine, our Ag and Nutrition platform delivered 7% sales growth and flat reported earnings in the quarter. Based on the mix that we had that would have put our earnings up about 10%, now this was offset by $33 million in additional investment in the Pioneer R&D and sales and marketing capability and the absence of licensing gains recorded in the second quarter of '06. We also offset significantly higher royalty expense. Putting the 7% revenue growth in perspective, we had double-digit revenue growth in corn seed and crop protection chemicals. And this was partially offset by lower soybean seed sales based on the North America acreage decline. Now these results are as expected. Now, with the strong outlook for the remainder of 2007, we are targeting revenue and earnings growth to be low double-digits for the full year. With regard to our cost investments for growth, I can assure you that these aggressive investments are very worthwhile and will pay off in 2008 and beyond. Each area of investment that I've been telling you about over the last three years, germplasm, trait stacks, our biotech and crop protection pipeline and our seed sales and marketing is on track or ahead of plan and are making us stronger now. Moving to results for our seed business, North America corn sales continued strong in the second quarter up 12%. Soybean sales, reflecting a weaker market declined 9%. Now looking at results for the overall planting season for the first half, North America and global corn seed revenues were both up over 20% with price and volume up double-digits. Now this reflects increased acreage and higher price per unit. And remember, the season got off to an early start in fourth quarter '06, when our seed sales were up 59%. Now we had an even larger step forward this season in biotechnology traits and trait stack ramp up than we had forecast to you. Specifically, triple stacks grew from 1% of sales in 2006 to 12% in 2007 versus our 10% goal. We increased trait acres by 75% over last year, versus the 50% target we shared with you. And we got this additional boost because our team did a great job with record winter production. And we were able to get all that product back to North America, and into customers' hands in time for planting. Now we're well positioned for the next big step up in trait acres in 2008. With our limited availability this season of our leader products with traits, Pioneer Seed was planted on 29 million acres, giving us a market share of 30%, based on the June 30th USDA estimate of 97 million acres planted in total in North America. The good news is that demand for our products and I'm talking about actual orders that we turned away, was there for us to have turned share around this year, if we had had full supply. We are ramping up supply very aggressively right now, and are on track to have full availability of leading products with trait stacks in 2008, this will be the first time we have had a fully competitive biotech lineup, and plenty of available product to meet any acreage scenario. Now, turning to slide ten, we are getting great feedback from farmers, and sales reps about our Herculex family of products. They are outperforming competitive insect protection traits, for example, black cutworm is an early spring insect that attacks corn as it emerges. Herculex is the only insect resistance trait that deters black cutworm. We had a number of farmers in the heart of the corn belt this year show us how black cutworm infestations destroyed their corn with competitive traits, requiring them to replant and, therefore, lose yield due to delayed growing window. Now these farmers also showed us how their Pioneer Corn with Herculex right next to the damaged crop, was unscathed. Another advantage of Herculex is that it deters western bean cutworm, which has migrated across a bigger area in the heart of the U.S. corn belt and is causing significant yield loss, farmers are finding other traits don't protect against this pest, but Herculex controls it very effectively. Also, we continue to collect data from Pioneer plots and farmer evaluations that show our Pioneer Hybrids with Herculex corn rootworm below ground control are protecting roots better than the competitive traits against the often devastating effects of corn rootworm. Now, this bodes very well for 2008, because response to the outstanding customer demand, we will increase the penetration of Herculex Traits in 2008 by more than 50%. And on slide ten, you can see some pictures of the Herculex advantage that makes it very clear, and if you are able to join our investor event in Des Moines in August, we'll share with you specific data, our data and university studies, that show not only the increasingly negative yield impact from these pests as they spread across the Heartland, but also the superior performance advantages of Herculex in protecting against these pests. At the same time, as we are ramping up Herculex, we continue to aggressively improve our proprietary based germplasm. Our yield advantage over competitive hybrids was demonstrated by 19,000 side-by-side comparisons last year. Our advantage went from four bushels per acre in 2005 to six bushels per acre in 2006 versus all competitors, and what we're seeing in the field today leads us to believe that our results will show even further advantage after harvest this year. I just came back from our Pioneer North America 2008 sales season kick-off conference, and I can tell you that the Pioneer veterans, and the highly talented new sales and marketing leaders that we've brought in to fill 67 new positions this year are fired up, and ready to go for the 2008 selling season, which starts now. Many of our new hires are experienced veterans with lots of seed experience, and with these additions, changes we have made with our existing sales force, and an increase in sales agents we have 15% more people calling on customers now, than we did last year. And with our increased supply of seed and changes we have made to better support our sales reps in the field, we will have 25% more time in front of our customer's driving share for 2008. First half international seed sales were also strong, and strong across all regions. Revenue and share in Europe were up, driven by higher volumes in corn and oilseed rape, favorable currencies and a slight increase in corn area. Now across Europe, we gained 2% share in corn seed this year. Latin America, revenue was up substantially in the first half, driven by Brazil's hugely successful Satrina corn season, where we realized a 10-point share gain in a market that also expanded 30%. This used to be a small market for us, but now it is very, very important. Africa and Asia revenue also grew nicely, with strong performance throughout. Last December we announced plans for a $100 million reinvestment in Pioneer, I'm pleased to say that this is on track, and we've made $51 million of these investments year-to-date in our crop genetics R&D pipeline, and our sales and marketing capability. Turning now, to our Crop Protection Chemicals business. Second quarter sales increased double-digits, with volume gains in corn and cereal herbicides, as well as strength in our insecticide and fungicides businesses. For the first half of '07, our sales growth was comparable to the global market, driven by increased European cereals acreage with especially strong markets in Germany and Central and Eastern Europe. On the cost side, we announced in December last year a restructuring program to reduce our costs by $100 million. We will make solid progress on this program in the second half of this year. Looking to the future, our pipeline remains on track. Earlier this month, we completed regulatory submissions for our Optimum GAT trait in corn to both the FDA and the USDA. And we continue to expect to launch commercially in soybeans in 2009, and corn in 2010, subject, of course, to completing field trials and getting final regulatory approvals. Now, looking at 2008 in slide 11. We will continue the aggressive ramp-up of biotech traits in our seed business. We will hold share in North America corn, and will continue to grow share again internationally. The value with our increase in traits will enable us to raise average selling prices by double-digits. And we're on track to launch Rynaxpyr insecticide next year, an exciting potential blockbuster product from our Crop Protection Chemicals R&D pipeline. And as Syngenta has publicly stated, they also plan to launch Rynaxpyr in 2008, specifically in blends with their products and that will expand the market potential for this product. I'm very excited about 2008, as we expand our biotech offering, and commercialize high value products in both seed and crop protection. The long-term fundamentals for growth in this business are outstanding. The world needs higher yields per acre and we've got the science to deliver it. We look forward to seeing you in Des Moines next month, where we'll not only review our Ag business and pipeline in more detail, but we'll also show you how the new products are performing in the field, including the outstanding performance of Optimum GAT. Please contact, Carl, for more information. And now I'll hand it back to you, Carl, to cover the other segments.
Carl Lukach: Okay. Thanks very much. Moving now to slide 12. Our Coatings & Color Technologies platform sales grew 5%, earnings declined 1% from last year. Our TiO2 sales grew modestly strong double-digit growth outside the U.S. was partially offset by lower North American sales, which reflects a weak North American housing market. Coupled with high inventory levels across the TiO2 industry coming into the year. In the face of the weak, domestic market and higher ingredient and transportation costs earnings declined significantly and operating margins compressed. In the Paint businesses, sales grew modestly. Favorable currency and continued strength in the collision paint business offset lower North American sales due primarily to a 4% reduction in North American auto builds. Earnings increased moderately on lower fixed costs in OEM paint and higher sales in collision paint. Partially offset, by increased ingredient costs and lower North American sales. Looking ahead, to the second half for Coating and Color Technologies we expect sales to grow modestly, and earnings to grow substantially specifically in the Paint businesses. This is weighted to the later part of the year when comparisons to the prior year for our Paint business will be more favorable. And the restructuring benefits should peak, in addition previously announced pricing action for TiO2 products is expected to reverse earnings erosion in the later part of the year. Moving to slide 13, and our Electronic and Communication Technologies platform. Sales grew 4% to $979 million, earnings were $176 million and included a $25 million pretax benefit from inventory valuation adjustments, the weakness overall reflect lower refrigerant pricing. Softness in certain electronic materials markets and investment spending for segment growth programs, sales for electronic materials grew moderately as pass through pricing of higher metals costs. And volume growth in microcircuit materials were largely offset by the impact of inventory corrections in certain cell phone, and semiconductor supply chains. Demand for cell phone handsets with DuPont materials was soft during the quarter; sales rose in Europe. But were lower in Asia Pacific and North America, Fluoroproduct sales grew modestly from the prior year. Volume gains and favorable currency were mostly offset by lower refrigerant prices, earnings declined primarily due to the lower refrigerant pricing, and spending for growth investments. Including Kevlar expansion for rising demand from the photovoltaic market, our imaging businesses delivered earnings growth from volume gains in packaging graphics, favorable currency and fixed cost management. Turning to the outlook for the second half we expect to deliver moderate sales and substantial earnings growth. Partially due to continued strong demand in the photovoltaic and packaging graphics markets disciplined fixed cost management as well as, strength for fluoropolymer solutions in cabling and consumer sectors. We believe that we are near the trough in the cyclical refrigerant businesses, we believe the year-over-year prices will be more comparable going forward, in the electronic materials markets we believe conditions will improve due to declining semiconductor inventory levels, and new cell phone and plasma display model introductions. Turning to slide 14, and our Performance Materials segment sales grew 8% on higher local price and favorable currency. Earnings increased 19% to $227 million reflecting gains in all major product lines, segment earnings growth was led by packaging and industrial polymers and elastomer products due to pricing gains and favorable currency, which were partially offset by higher input costs. We experienced global sales gains in all three major product lines; Packaging Industrial Polymers, Engineering Polymers and Elastomers, from a regional perspective, revenues grew in all regions. Europe and Latin America were particularly strong due to local price gains volume growth and favorable currency. As expected revenues in Asia Pacific grew at a more robust rate than in the first quarter, we continue to expect stronger growth in Asia in the second half of 2007. Packaging and Industrial Polymer Products delivered strong sales growth due to price and currency gains partially, offset by lower volume; sales were strong in most regions, earnings grew significantly on higher sales. But were tempered by higher input costs. Performance elastomer product lines delivered strong sales, and earnings growth primarily due to volume, price and currency gains, and disciplined fixed cost control again tempered by higher input costs. Revenues were particularly strong in Europe, Asia excluding Japan and Latin America, engineering polymers product lines generated modest revenue growth primarily due to higher prices, and favorable currency partially offset by lower volumes. Revenue strength in Europe, Latin America and Asia was offset by weakness in the North American auto sector; earnings were essentially equal to the prior year as higher raw material costs largely offset sales gains. For the second half we expect slight sales gains but significant earnings growth, we anticipate to benefit from higher pricing volume gains outside the United States, and fixed cost management partly offset by higher ingredient costs. Turning to chart 15 our Safety and Protection platform second quarter sales grew 4% and earnings grew 3%. Platform diversity and growth outside the U.S.; mitigated the downdraft in our earnings due to the double-digit correction in the U.S. residential housing market, and cost investments primarily to increase capacity. Looking at the key product lines in the platform Kevlar and Nomex had another strong quarter of top and bottom line growth. From a market perspective life protection, emergency response, mass transportation, and electrical all continued to perform well and the market dynamics show no signs of changing. In the Safety Consulting business, sales and earnings declined, was as a result of timing of contracts. Turning now to our construction business primarily encompassing Tyvek and surfaces product lines worldwide sales were flat despite a 20% decline in U.S. housing starts. Double-digit growth in Europe coupled with growth into U.S. remodel and commercial construction, offset lower sales into U.S. residential housing, again this quarter our U.S. construction related business were down less than half the U.S. housing market. Turning to the outlook for Safety and Protection sales are expected to grow modestly and earnings substantially with broad based participation across the platform, we expect the growth to be weighted to the later part of the year due to certain planned facility outages in the third quarter the timing of consulting contracts. And the comparison of a weak fourth quarter 2006, which reflected the U.S. housing inventory downdraft last year; that concludes our review of the platforms. I'll now turn the call over to our Chairman and CEO, Chad Holliday.
Chad Holliday: Thank you Carl, we were pleased with the 9% earnings growth in the first half, however we did not grow earnings as much as we would have liked in the second quarter, following five consecutive quarters of meeting our expectations. In this quarter, we did not respond fast enough to a change in two external conditions; Lower North America volume, and higher than anticipated input costs. However before I address our game plan for the next 150 days. I do want to shine a light on the second quarter positives that will increase as the remainder of 2007 plays out, and we go to 2008. First developing country sales grew over 11%, Greater China, which for us is Hong Kong, the PRC and Taiwan was up 10%; I was in China the first week in July. And I confirmed the report Doug Muzyka, our country head work to move our business to a new level in China is on track, Eastern and Central Europe was up 25%, and India up 9%, we're extremely pleased with these gains and we will do even better. Second point fixed cost streamlining is gaining momentum, as we expected our April 2000 third party fixed cost audit. Where we compare to world-class companies in costs, show we are closing the gap, but in addition it shows we still have a major opportunity in front of us. We will meet or exceed our $400 million cost reduction plan for 2007, in addition the early success of supply chain simplification, centering and standardization of work, shows the potential is even more than we first anticipated. You'll hear our leaders talk about DuPont Integrated Business Management or DIBM and DuPont Production System DPS. Please understand these are all subparts of this overall category streamline that Richard Goodmanson is leading for our Company. It is the success of this work that gives us confidence in meeting our goals. Third area, R&D engine is continuing. We introduced 282 new products in the second quarter and filed 400 new patent applications. All are contributing to our 14 consecutive quarters of local price gains. Our critical 50 innovations, those 50 projects that are most important to the Company and Tom Connelly and I follow personally hit 96% of high-end goal revenue targets, the highest in the history of this metric in our Company. For example, photovoltaics revenue is up 40% in second quarter, and four SBUs are all contributing products to this very exciting new market segment. The three areas I've just described, developing country sales, fixed cost reduction and new products were very important. However, when the last chapter is written on second quarter '07 the highlight will be the improved positions of our biology-related business and how they will pay off in 2008. First let me start with bio-based materials and biofuels. Sorona has arrived. I met with 110 of our customers and partners in June. They had great things to say about the product, and only had one question How can I get more? 2008 sales of Sorona will be up at least 70% supported by our new contract polymer capacity that started June '07 in China. In addition, our sales of BioPDO directly through our brand Sorona, have started and are off to a good start. Second, our route to commercialize biobutanol started to come into focused with our investment with BP in a wheat power ethanol plant and start of construction of our world-class biobutanol demonstration facility in the U.K. I could cite more examples. However, we've concluded that an investor event on November 13, 2007 is the right time to answer the question you've been asking. How are we going to make good on our nine years of investments in bio-based materials and fuels? Tom Connelly and his team leaders are ready to answer that question. We look forward to seeing you then. Moving to Agriculture, Erik has described our agriculture biotech, and we've turned the corner on having the technology that yields. In 2008, we will have the stocks, both human and seed supply, to arrest our share loss in North America and continue share gains in other regions. I had several personal one-on-one interviews with our North America sales account managers last week to hear directly from them what they believe we can do in 2008 and more importantly, how we'll do it. Equal in importance is talking to experienced seed industry sales and marketing leaders who have joined us in the last six months, and they explained their decision to sign up with DuPont Pioneer. When we launch our 2008 season next month you're going to be very pleased with our lineup, and I hope to see you in Des Moines on August 14th, 15th where we can show you the crops in the field. Now, let me focus on the second half of 2007, where we will deliver. We are reaffirming the outlook we gave you October 2006 of $3.15 per share before special items for full year 2007. Now, how are we going to do it? First, our assumptions, no North America market recovery until well into 2008, and no help from lower input cost. So how are we going to get the job done? Two points. One, accelerate our cost improvement. We've got the mechanisms in place, we will do it. Second, deploy the global talent of DuPont to grow even faster outside North America including the leverage we have in Western Europe on the basis of $1.38 per Euro. I'm very encouraged with the confidence our top 70 leaders have in accomplishing this plan. They have the specificity of actions and the determination to make it happen. Carl, back to you.
Carl Lukach: Okay. Thank you, Chad. Jackie, we're ready to go to questions now.
Operator: (Operator Instructions) Your first question is from David Begleiter of Deutsche Bank. Please go ahead.
David Begleiter: Thanks Good morning. Chad and Erik, North American corn seed share why wouldn't it be up next year as opposed to just being flat year-over-year?
Erik Fyrwald: Well, what we're saying is that we are committed to being flat next year. Clearly, we're targeting to drive aggressively with the full supply of seeds that we're going to have in combination with the Herculex advantage. And combination with the strengthened sales and marketing capability, and we are going to push all of those for 2008 and we'll see how we come out. I'm committed to turn the share around.
David Begleiter: Erik, versus the 12% this year of triple stacks, what's the target for next year?
Erik Fyrwald: The target for next year for triple stacks and for corn rootworm trait product is to make sure that we've got enough product to meet the market demand. Our estimate for the market demand of corn rootworm is about a third of the market next year, and we will have plenty of supply of triple stacks and other products to meet that demand.
Operator: Thank you. your next question is from P.J. Juvekar with Citi.
P.J. Juvekar: Yes, hi, Good morning. Your revenues were up 6% and EPS was up only 3% despite all the cost cutting, buyback and the tailwind from currencies. So you're not getting the positive leverage to the bottom line, which means, it may mean that your fixed costs are still too high. Can you comment on that?
Jeff Keefer: Yes, P.J. this is Jeff. The primary reason is for the lower operating leverage if you will, is the run-up in our variable costs. And you saw the $0.15 on our earnings per share chart and Carl, really reviewed by platform what that was. Let me just comment on fixed costs. The fixed costs were as expected. They were not a surprise. They are a conscious reinvestment in our high growth, high return businesses that will pay off in the near term read that 2008. We're putting more feet in the street in developing countries, launching new products and spending on capital and in places like Kevlar and Nomex, where we have customers that need more supply.
P.J. Juvekar: And one quick follow-up for Erik on the prior question, you said that your market share would remain flat next year or you hold it and you'll have enough supply available. What are you assuming for overall industry demand? How many acres of corn planted are you assuming for next year? Thank you.
Erik Fyrwald: We're not forecasting that specifically, but what I can tell you is that we are getting ready with the supply right now to be able to achieve our share gain, our share targets, regardless of how the acreage plays out, so it can increase and we will still hit our target.
Operator: Thank you. your next question is from Frank Mitsch with BB&T Capital Markets.
Frank Mitsch: Good morning guys. Chad, it looks like globally, X-U.S, things are progressing very well. But obviously, the U.S. is a little bit of a disappointment, and you mentioned that perhaps you didn't move fast enough on the housing side. What sort of expectations did you have for housing? How, in North America, how is it playing out? And when do you think it turns around, and what's your future there?
Chad Holliday: So first, I'm pleased the way our new products played in North America housing. We anticipated when we were putting our plan together last October we would start to see early restocking here in the second quarter for North American housing. Clearly, that did not happen, as I mentioned in my comments, I'm not assuming anything improving in North America housing until sometime well into 2008, so no impact in 2007. And we're taking these products to these developing countries where we've got the roots to market. And so that's why where we're beefing up, and that's some of our fixed cost, is beefing up in those roots to market. And we're speeding up the cost reduction, particularly the cost reduction that's available in the United States from the streamlining. And that's why I'm so pleased we put in the basis to understand the systems of how to do it, so we know exactly how to take the resources that we'd be trying to sell and move more product in North America and put them up on the cost reduction piece.
Frank Mitsch: All right. So you'll be able to improve your results, even without a market recovery?
Chad Holliday: Yeah. We'll be able to hit the outlook that we've given, which will be a strong second half for our Company, even without a market recovery in North America.
Operator: Thank you. Your next question is from Peter Butler with Glenhill Investments. Please go ahead.
Peter Butler: Yeah. During the quarter, there was some discussion that in fact, Dow had made a takeover bid on DuPont, and I guess the question is, how did your Board handle this? The stock obviously has not been a good performer in recent years and it looks like maybe this rejected out of hand, something that could have added a lot to shareholder values.
Chad Holliday: Peter, we don't comment on rumors. I think if you look at our stock performance in the last 12, 15 months, I think it has performed quite well. Jackie?
Operator: Thank you. Your next question is from Bob Koort with Goldman Sachs.
Bob Koort: Thank you. Good morning. Erik, I was wondering if you could help me a little bit with the math on your corn revenue, given you lost a couple share points, but the U.S. corn acreage was up something like 18%, 19%, and I think you mentioned that your trait intensity went up considerably. So it seems like your revenue base in corn should have gone up more, what am I missing in the math there?
Erik Fyrwald: Well, I said the revenue base went up over 20%.
Bob Koort: Okay, I got you. I think it must have been the Herculex, that it was 12. And then -
Erik Fyrwald: Correct.
Bob Koort: You mentioned next year, you expect double-digit selling price increases, but again, as you're going to have a trade intensity lift, so just by default, the mix will give you a price hike. What's the underlying trait fee increase, apples to apples, because I know your arch rivals in St. Louis have talked about something like a 15% or 16% increase going into '08.
Erik Fyrwald: Bob, the way we're looking at it is our total price for products are based on the value of the product, not specifically calling out a trait, and when you look at the performance improvement of our products, including the increased performance with the traits, our commitment is that our prices will be up double-digit next year. If you look at our pricing, that's coming out now as we roll out the season, you will see that the product pricing is in line with that.
Operator: Thank you. Your next question is from Sergey Vasnetsov of Lehman Brothers. Mr. Vasnetsov, your line is live. Please proceed with your question. We'll move on to the next question, which is from Kevin McCarthy with Banc of America.
Kevin McCarthy: Erik, despite the increases in the top line, the ag margins actually contracted in the first half of the year. I know you have some cost investments flowing through in R&D and sales and marketing. If I offset that with the higher pricing that you've alluded to for 2008, what would be your margin expectation or at least the trend, looking ahead to next year?
Erik Fyrwald: I think the trend looking ahead next year will be for improved margins. We will have a higher technology component, a significantly higher Herculex component and continued growth in corn, that I think all bodes well for our performance in 2008. We will continue growth investments. We will continue to strengthen our R&D capability. We will drive our pipeline into the marketplace very aggressively and continue that as well as continuing to strengthen sales and marketing. On the other hand, our cost project, our $100 million cost reduction will start to deliver in the second half of this year about 20% of that cost reduction that we talked about in December last year, more than half of it in 2008, and then the full benefit in 2009 and beyond. So I think, it's a combination of driving growth, high value products, and our focus on costs that will deliver improved margins in 2008 and beyond.
Kevin McCarthy: Just to follow-up on Herculex; you alluded to superior performance controlling black cutworms as well as western bean cutworms, can you quantify how prevalent that insect pressure is across the United States in terms of millions of acres and where you feel it gives you an edge?
Erik Fyrwald: Well, if you look at the chart, I believe it is ...
Chad Holliday: Slide 10.
Erik Fyrwald: Slide10. You can see the acreage that black cutworm and western bean cutworm cover. What this doesn't show, which we'll show you on August 14th and 15th, is how it's expanding, and also how corn rootworm is expanding. So the importance of these pests are getting more and more. So the advantage of Herculex in controlling black cutworm, western bean cutworm and superior control of corn rootworm are going to get more and more important going forward, including in 2008. So we'll give you more specific data, both on how many acres this is hitting, how that's expanding, as well as our performance at August 14th and 15th.
Operator: Thank you. Your next question is from Steve Schuman with New Vernon Associates.
Steve Schuman: Thanks. A quick clarification, your interest in corporate expense line is up a little bit and interest is down. So if I look at corporate expenses, it looks like it's up about $25 million. Am I looking at this wrong?
Jeff Keefer: Great question. The way you ought to look at it is interest expense is net of interest income, and that's about a wash year-over-year.
Steve Schuman: Okay. And then, could you just update us on the progress for drought tolerant corn? Is this one area where you maybe able to catch up with your competitors? They recently had to partner away a lot of their profits here and the future potential for that product. How is your progress coming?
Erik Fyrwald: I would say in drought tolerant corn, we're making progress and we've got two approaches. One approach is through molecular marker breeding and improving our base germplasms ability to handle drought tolerance, and that's happening. It's making great progress, and it's delivering today. You'll see that in our product lineup for 2008, the performance that we deliver in 2007. The other approach is transgenic. We're making good progress there with our own work, and in combination with our partners that we're working on this huge opportunity. So, I would say we're making great progress. The timeline for commercialization is out 2011 and beyond, but it's a big opportunity and we're going to get there. But in the meantime, we're going to keep making more and more progress on improving the ability of corn to tolerate drought in our base germplasms.
Operator: Thank you. Your next question is from Don Carson with Merrill Lynch.
Don Carson: Thank you. Chad, I have a portfolio question. There seems to be a lot of interest in engineering polymers these days, witness the G.E. sale and BASF's stated interest in the area. You've done a great job turning around Performance Materials, but does this business really fit with the R&D innovation strategy that DuPont has and don't you think there are higher value owners of this business? And I would also ask about your Coatings businesses. You're further back on the turnaround there, but what are your thoughts overall on shrinking DuPont to a more of a higher growth Company than it is today?
Chad Holliday: Hey, Don. Thanks for the question. Of course, we have made some decisions around the business that we want to be in. As you know very well, synthetic fibers, we took exactly a lot of thought that you suggest there and concluded there's more value for our shareholders going a different direction. In both Performance Materials and Coatings, we see tremendous potential in nanotechnology or nanoscience and engineering. You might have seen we've been leaders in pioneering the safety of this product and developing our capability. We think this technology can add to both those platforms to create significantly more value, and we don't see other people that necessarily have the capability of doing that. Second, this streamlining and the DuPont Production System and Dupont Integrated Business Management, those techniques I described, we are thrusting them ahead first in these two platforms, where we expect to see significant value creation as those come in later this year and throughout 2008. So there's a lot more value for shareholders right now in improving these two platforms. Of course, we're always going to do the right thing for shareholders in our total business mix.
Don Carson: Okay. And then just a follow up for Erik. Erik, you talked about yield trials and the Pioneer yield advantage in '05 and '06. That was against all competitors. I'm just wondering if you can be more specific about Pioneer versus DeKalb and what advances you've made there and whether you're able to regain the yield advantage that Pioneer once had?
Erik Fyrwald: Well, of course, a huge number of those, a large number of those 19,000 trials were against Monsanto products, at least 5,000 of them. I think it was actually somewhat more than that. And our average yield advantage versus Monsanto was four bushels per acre, and that's improving. So they're clearly improving, we're improving, and we're going to keep doing that.
Operator: Thank you. Your next question is from Jeff Zekauskas with J.P. Morgan.
Jeff Zekauskas: Hi, good morning. I don't mean to go over the Ag results yet again, but is the issue that the level of investment spending is just very, very large for the size of your business in the sense that the Ag operating profits really haven't grown since 2004. And we've just had tremendously strong North American and global markets. So, what are the countervailing factors that are really keeping your operating profit growth down? And shouldn't you be holding yourselves to very high standards in terms of the rate of growth that you expect in the future?
Erik Fyrwald: Well Jeff, we'll go offline with you, go through the exact numbers since 2004. I do think we've delivered effective growth since 2004, since 2001, whatever starting point you want to take, although we did have a very tough year last year.
Jeff Zekauskas: Sure.
Erik Fyrwald: The way I look at it is, the investments that we are making are very important to realize a lot of value both near term, midterm and long-term, and I think that you'll see that they'll pay off very, very well in 2008 as we turn around our North America corn share situation, as we sell a lot more Herculex product and continue our share gains in other markets. And as we drive through the other elements of our pipeline which are near term, including not only Optimum GAT, which is going to be a huge driver of earnings improvement for us, both from the standpoint of better products, of stopping the royalty expenses that we're paying for glyphosate tolerance, and the ability to license trades and start getting significant licensing revenue. That for Optimum GAT is very important for us. Rynaxpyr is launching next year. Anthracnose tolerance is launching next year. Hyolaic soy is launching in 2009, seed production technology is launching in 2009. And then behind that are the next generation agronomic traits around yield, drought and nitrogen. I believe, the investments that we're making, both in R&D for all three of those horizons are going to pay off tremendously, and the commercial investments that we're making to strengthen our roots to market are also going to pay off very, very quickly. And I think you'll see that the business continues to deliver very attractive revenue and earnings growth, while we continue to increase our investment for going after this huge opportunity going forward. The other thing in 2008, I'll just mention again, is we'll really start to see the $100 million cost reduction program start to kick in and deliver results. Put all that together, and we've got an attractive future ahead.
Jeff Zekauskas: I guess, if I could follow-up maybe for Chad, you know, in the light of Monsanto's obvious success in being a focused agricultural company. Do you think, that over time it may be better to put the Ag and Nutrition business more on a freestanding basis so that the operation really can gain from an intense product focus, rather than be inside of a conglomerate?
Chad Holliday: Jeff, I think, I understand your question. But the bio-based materials, and I hope you can make it down in November when you see that, the overlap between that technology, and it's going to become very clear in biofuels, as we're seeing the lineup that we were around biofuels, we're seeing more into our Ag input and biofuels, there's going to be tremendous synergy, and no other company can bring that. And, with 20% of the corn crop going to ethanol today, we have a unique advantage. And this fundamental kind of backbone of technology flows perfectly across Ag into bio-based materials. So, I believe when you see that between the Ag review in August and our bio-based materials, biofuels review in November. I think, you'll answer the question why there is truly much more power for the shareholder being together. In addition, bio is very, very early in its overall evolution. We are confident in Electronics, in Safety and Protection, and other routes to market, we're going to be able to take the products of this technology and move it out. So, I think as you see this play out, I believe it's going to become very clear that really having these multiple routes to market, and to get the full value of technology, it's much stronger than just a single norms are coming.
Operator: Thank you.
Carl Lukach: Okay Jackie, I think that concludes our time for today's call. I want to remind everyone that the Investor Relations team is here available to answer any follow-up questions that you have. And we thank you all again for joining us today. Thank you very much.
Operator: Thank you. This concludes today's DuPont conference call. You may now disconnect.